Operator: Good morning, ladies and gentlemen, and welcome to the Altius Minerals Q1 2025 Financial Results Conference Call. [Operator Instructions] Also note that this call is being recorded today, Wednesday, May 14, 2025. And I would like to turn the conference over to Flora Wood. Please go ahead.
Flora Wood: Thank you, Sylvie. Good morning, everyone, and welcome to our Q1 2025 conference call. Our press release and quarterly filings came out yesterday after the close and are available on our website. This event is being webcast live and you'll be able to access a replay of the call along with the presentation slides on both the homepage and on the Investor page at altiusminerals.com. I'll also point out that we have a more extensive presentation in a couple of hours for our Annual General Meeting. You'll also see that on our website and it has an open conference call for live questions. Brian Dalton, CEO; and Ben Lewis, CFO, will both be speakers on this call. The forward-looking statement on Slide 2 applies to everything we say both in our formal remarks and during the Q&A. And with that, I'll turn over to Ben.
Ben Lewis: Thank you, Flora, and good morning, everyone. Royalty revenue for Q1 2025 is $15 million compared to $15.4 million in Q1 2024. Adjusted EBITDA for the three months ended March 31, 2025 is $9.5 million compared to $10.9 million in the prior year quarter. In the current quarter, both revenue and adjusted EBITDA reflected higher base metal prices and copper deliveries from Chapada, higher dividends from iron ore as well as the growth of the renewable royalty portfolio when excluding non-recurring items from Q1 of last year, offset by lower potash volumes. Q1 2025 adjusted operating cash flow of $4.1 million compares to $4.0 million in Q1 last year. The slight increase reflects lower interest costs, offset by lower royalty revenue receipts and higher tax payments as well as some working capital changes. Net earnings for the first quarter of $6.3 million or $0.13 per share compares to net earnings of $4.8 million or $0.10 per share in Q1 2024. The increase reflects lower amortization and G&A, partially offset by lower revenues and higher cost of sales as well as the tax recovery. Q1 adjusted net earnings of $0.05 per share is lower than the first quarter of 2024 with the main adjustment items being unrealized loss on derivatives and $4.3 million in tax recovery relating to the recognition of certain tax losses. I'll now turn to capital allocation and liquidity. During the quarter, we made scheduled debt repayments of $2.0 million, paid total cash dividends of $3.8 million and issued 12,638 common shares valued at approximately $319,000 under the corporation's dividend reinvestment plan. The corporation repurchased and canceled 2,000 shares under its normal course issuer bid for a total cost of $52,000 during the quarter. The Board of Directors also approved a $0.09 quarterly dividend that will be paid to shareholders of record on May 30, 2025 with the payment date of June 16, 2025. At March 31, our current liquidity consisted of $12.1 million in cash as well as $116 million in unused revolver room. In addition, the corporation's agreement with Northampton provides access to additional liquidity to fund renewable energy investments and grow the renewable segment of the business through ARR. At March 31, 2025, ARR had cash of $31.7 million, that’s U.S. dollars. The GBR joint venture in turn had cash of $40.8 million and available liquidity of $85 million under its credit facilities. And with that, I'll turn it over to Brian to discuss the quarter's significant highlights.
Brian Dalton: Thank you, Ben and Flora. Thanks everyone for being with us today. Apologies, I have a little bit of a cold if I sound a little nasally. Our first quarter was an eventful one marked perhaps most prominently by the announcement of a proposed acquisition of Orogen Royalties and Triple Flag Precious Metals. That was motivated by Orogen's 1% NSR in the new world-class Silicon and Merlin discoveries in Nevada. We will come back to this and the implications for our own 1.5% NSR royalty over these deposits at the end of my remarks following a review of our other assets and commodity exposures. Reports from the operators of our potash royalty mines are indicating that the market is currently quite firm strong demand in all growing regions leading to a tight supply and demand backdrop that has resulted in a 10% to 20% strengthening of prices across various markets so far this year. Each operator also continues to note their relatively unique abilities to provide incremental volume to the market as it allows given their extensive resources and well developed mine and logistics infrastructure advantages. In particular, Mosaic has signaled a plan to commission a processing upgrade later this year that will add approximately 400,000 tons from Esterhazy. This further cements its lead as the world's largest potash mines. In iron ore, we have again seen a significant capital investment commitment from Rio Tinto IOC as it continues its multi-year program of modernizing and upgrading its infrastructure in Labrador West. It also continues to emphasize the importance of the asset within its broader iron ore portfolio. Given its rare ability to serve the growing EAF based steel making market and be used as an upgrading blend stock for its lower purity products coming from Australia. Champion and its new Japanese partners, Nippon Steel and Sojitz also continue to advance the Kami project along several fronts, including detailed engineering in support of the ongoing feasibility study, environmental permitting, averaging among other stakeholder agreements and discussions around potential government supports related to the designation of Kami's expected high-purity product under critical minerals frameworks. We also further advanced our own study work on our portion of the Julienne Lake iron ore deposit to determine its metallurgical suitability for concentration DR grade purity levels. Turning to base metals. We highlight recent comments in Vale concerning positive progress with respect to the ramp-ups of the Reid Brook and Eastern Deeps nickel copper cobalt mines at Voisey's Bay, but expectations for higher production volumes as the year progresses. Lundin has reported on the continuing advancement of resource definition and development analysis of the recently discovered Saúva deposit located just to the north of the Chapada main deposits. It also confirmed annual copper production guidance at Chapada while signaling a back half weighted production profile. Silvercorp provided an updated capital plan and construction schedule for the Curipamba polymetallic mine development that indicates the commencement of production late next year. With respect to our Argentina lithium royalties, Ganfeng announced the commissioning of the Mariana project during the quarter with first royalty cash flows expected late this year, while Zijin's Tres Quebradas is reported to be on track for first production from its Phase 1 in the third quarter of this year, while Stage 2 construction also continues to advance. At Sigma's Grota do Cirilo lithium project in Brazil, Phase 2 construction is also advancing with initial production expected by year-end and ramp-up to full capacity to occur during 2026. Altius Renewable Royalties through its 50% JV interest in Great Bay Renewables or GBR continues to ramp up its exposure to cash flowing projects and to find innovative ways to capitalize on the interconnection bottleneck, supply chain challenges and negative investment sentiment of competing forms of capital that has strained the sector over the past couple of years. These challenges stand in stark contrast to the fundamental increase in new power generation demand and higher contracted power prices that currently is characterizing the U.S. market. GBR has several royalty projects that are in construction related to earlier development investments with TGE Enbridge particularly active and taking advantage of its advanced project pipeline and early procurement foresight. Another significant development during the quarter was the announcement at Nova, in which ARR is a significant C level equity investor and holds royalty entitlements 2 gigawatts of its project portfolio has attracted an up to $175 million investment from TransAlta. The look through valuation to Nova from the equity convertible component of this investment is several multiples higher than that of the level that GBR invested at. Perhaps more importantly, however, this investment provides Nova with meaningful capital to advance its projects and therefore accelerate the pace of our realization on royalties, while TransAlta gains priority access to acquire and build these projects and to become our ultimate royalty counterparty. Also, the GBR team has successfully designed a new market offering that provides developers and operators with a source of capital to support the funding and the refundable portion of interconnection deposits and to avoid tying up other sources of capital that can be more productively used for advancing projects on the ground. To fund this initiative, GBR has secured $100 million debt-based funding package and is currently quite active in deploying the proceeds. As part of the provision of this funding, GBR earns a positive spread versus its cost of capital while also retaining full control of the refundability of the deposits, while building new relationships that are pleased will ultimately lead to royalty conversion and investment opportunities. Now let me come back to the Orogen transaction and our Silicon royalty. Triple Flag has proposed to acquire Orogen at an implied price of $2 a share, including the value of a spin-out vehicle that current Orogen shareholders will continue to hold. Many of you will be aware that we have accumulated an approximately 20% shareholding in Orogen over the past number of years, particularly so since we formed a quite bullish technical view concerning the value of its 1% NSR royalty that covers the AngloGold Ashanti Silicon and Merlin Gold deposit discoveries in Nevada. Our cost in purchasing our position in Orogen was $14 million meaning that its implied value at the Triple Flag proposed purchase price is $79 million. Further element of the Orogen, Triple Flag acquisition proposal is the look through value it implies for the separate 1.5% NSR royalty that Altius directly holds over the adjacent, not ultimately connected Silicon and Merlin discoveries. While there are certain differences in the structure and extent to royalty interests, we do believe that a high level assumption of 1.5 times to look through value of Orogen's royalty or more than $500 million is a reasonable proxy for the current market value of our royalty given our understanding that Orogen ran a fulsome process to test the current value. This compares to an average analyst value estimate for our royalty interest of $220 million immediately prior to the announcement for an implied delta of $6.37 per Altius share. We believe that the explanation for such a wide delta rests in the belief in the full scale and remaining potential of the discoveries that exist among those of us who have studied the projects in more in depth technical detail versus those relying solely on the current stage of regulatory reporting that the operator has been able to provide thus far. We have published a presentation on our website that further illustrates the potential that we see. This is emerging as a truly special discovery. And if you don't want to take my word for it consider this quote from AngloGold in their Q1 investor call last week as CEO Calderon said, we're more confident than ever that this will be a magnificent Tier 1 asset over the very long-term in the world's top mining jurisdiction. We also continued to progress to the final stages of concluding the arbitration process to determine the full extent of the lands -- of the current lands that AngloGold holds in the region that are subject to our royalty. To this end, each of Altius and AngloGold have reviewed the partial award provided by the tribunal and found good agreement between us as to many of the areas that are included and excluded. This confirms that the full current known extent of the Silicon deposit and the vast majority of the Merlin deposit are subject to the royalty as well as the extensions to the key geological structures and lithologies that we believe offer the most promise for further deposit expansions. Certain more peripheral land areas remain subject to determination by the tribunal with Altius now having made all of its requested submissions and we await a final decision. Finally, we have now completed our own process that invited bids for our royalty interest and that generated significant interest, primarily from precious metals focused royalty companies. A wide range of values and structures were received as part of this process and we are currently evaluating these against our own current assessments of value and longer-term optionality. We expect to be in a position to make a decision and how we feel we can best serve our shareholders with respect to this asset in the current quarter. I'll end by saying that this is obviously a very exciting time for our shareholders and our business across multiple fronts and we look forward to providing you more updates over the coming quarters. With that, I'll turn it over to questions. Thank you.
Operator: [Operator Instructions] First question will be from Carey MacRury at Canaccord Genuity. Please go ahead, Carey.
Carey MacRury: Hi. Good morning, Brian. Just on the Silicon Orogen transaction, has that -- is the outcome of that -- has that changed your thinking about how you want to move forward? I know you were looking at asset swaps and other vehicles, but just wondering if you can give us some color on sort of -- again, does that change your thinking at all with that transaction?
Brian Dalton: No. I don't think so. It obviously provides another data point as to what potential market value of the asset is and then there's also some look through in terms of how Triple Flag views the asset. And I think it coincides well with what the rest of the potential buyer universe looks like. But really our job now is to make an assessment as to what we think the royalty is work to an Altius shareholder and what it could be worked in our -- within our business structure and relative to our typical trading multiples versus how it might look in others and make a call as to how we best and optimize value for our shareholders, whether it's as a whole or to pursue some type of transaction. But give us a little bit of time to digest the proposals that we have in hand here and we'll definitely update the market soon.
Carey MacRury: Okay. Great. And then I think you mentioned you expect around $34 million in cash potentially from your equity interest in Orogen. Any use of proceeds there? Would you be thinking about buying back stock or would that be paying down debt or any color there?
Brian Dalton: Carey, I'm always thinking about buying back stock. So certainly part of the picture. But again, we have the process for our own royalty to consider right now. So yes, there's lots of ideas that we have around capital allocation generally, but I don't think much has changed there. It's a nice little boost of liquidity from the Orogen transaction, but there's lots of things that are kind of interesting out there right now.
Carey MacRury: Okay. Appreciate that. Thanks, Brian.
Brian Dalton: Thank you.
Operator: [Operator Instructions] Next will be Brian MacArthur at Raymond James. Please go ahead, Brian.
Brian MacArthur: Good morning, and thank you for taking my question. So just following up on Carey's about the $33 million in cash. Have you basically assumed you're going to elect like the 50% the cash/stock component, I mean, you're not thinking of taking all stock or is that actually required by you to do it that way?
Brian Dalton: No. We have no restrictions that way. So I think as a starting assumption, we'll kind of see what the other shareholders are doing, but we're kind of running with the idea that we'd make the 50-50 election right now.
Brian MacArthur: Great. Thanks. And just again back to the -- what I'll call the additional option value outside the current 1.5% royalty, all the lands that are still being worked through. You basically said you've filed everything, but you feel comfortable enough that you could go ahead and if you decide to monetize part of or all of that royalty some other way that you could get value for the unknown checkerboard or would you wait until that whole thing is totally resolved?
Brian Dalton: I think what's important is that as I said in my remarks, there's really good agreement now between Anglo and Altius on what is included and what's not included from the final award. And that does cover the heart of the project right now and all of the known deposits. So the things that are a little bit still up in the year are much more peripheral further out within the potential district, but I would have to say that I think the vast bulk of the value has been confirmed and it's certainly enough to work with. I think that will be -- if we do choose a buying -- choose to sell the asset, the closing and how that might look the something we'd have to discuss with a potential buyer as to how much confirmation, how much value they might be assigning to that periphery. But for all intents and purposes, again, I think the vast bulk of the value as it can be seen today anyway is already quite clear.
Brian MacArthur: Great. Thanks very much, Brian, for answering my question.
Brian Dalton: Thank you, Brian.
Operator: And at this time, Ms. Wood, it appears we have no further questions registered. You may proceed.
Flora Wood: Thank you, Sylvie. Thank you, Carey and Brian, for the questions. And just to sign off, I'll say that our AGM starts in an hour and a half roughly, two hours. And we'll look forward to any of you who can join the webcast and conference call for that.
Operator: Thank you.
Brian Dalton: Thanks, everybody.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.